Operator: Good morning everyone, and welcome to the Citizens Financial Group First Quarter 2017 Earnings Conference Call. My name is Brad, I'll be your operator on the call today. Currently, all participants are in a listen-only mode. Following the presentation, we'll conduct a brief question-and-answer session. As a reminder, this event is being recorded. Now, I'd like to turn the call over to Ellen Taylor, Head of Investor Relations. Ellen, you may begin.
Ellen Taylor: Thanks so much, Brad, and good morning to all of you. We are really pleased that you joined us this morning. We are going to start things off with our Chairman and CEO Bruce Van Saun and our new CFO John Woods covering the highlights of our results and then we will open up the call for questions. Also joining us on the call today are Brad Conner, Head of Consumer Banking and Don McCree, Head of Commercial Banking. Of course, I have to remind everyone that in addition to today's press release we have also provided presentation and financial supplement and you could find those at investor.citizensbank.com. And our comments today will include forward-looking statements, which are subject to risks and uncertainties. And we provide information about the factors that may cause those results to differ materially from the expectations in our SEC filings, including the Form 8-K filed today. We also provide non-GAAP financial measures and information and reconciliation of those measures to GAAP in our SEC filings and in our earnings material. And with that, I will hand it over to you Bruce.
Bruce Van Saun: Good morning everyone and thanks for joining our call today. We are pleased to report another quarter of strong results, picking up where we left off in Q4 and well positioned to continue our momentum going forward. We are doing an excellent job of executing on our strategic initiatives, taking care of our customers and demonstrating a mindset of continuous improvement in how we are running the bank. The highlights of the quarter from my perspective includes strong loan and deposit growth, good net interest margin expansion, excellent results in our fee based businesses, and good control of expenses. Revenue growth was 12% year-on-year, positive operating leverage was 7%. This drove ROTCE higher reaching 9% after excluding a non-recurring tax benefit. Our efficiency ratio is now at 61.7% and NIM is at 2.96%. I’d like to recognize our commercial bankers for an exceptionally strong quarter. We’ve built great platform in capital markets and in our FX and interest rate management businesses and attracted first class talent. We also continued to up our game through an ongoing investment program in treasury solutions. Added great coverage bankers and our team approach to how we cover clients and provide tailored solution is really paying off. This quarter showed quality strength, and potential of each of these businesses. I am also pleased that our continuing ability to innovate. Our Apple partnership is going well and we’ve added two more partners and have a nice pipeline as well. We continue to access Fintech capabilities trough partnerships and we will roll out our robo advisory product to clients this quarter. And our ed refi loan products continue to address a real market need. We’ve stayed nimble on how and where we deploy our capital, with balanced and attractive loan growth in both consumer and commercial. Growth in consumer is expected to continue in mortgage, personal unsecured and student lending. We have ended our flow agreement with SCUSA on auto loans, part of an overall strategy to strengthen our auto loan book. We continue with our SoFi flow agreement on education refinance loans. We've been pleased with the results to date. And we remain focused in commercial on both borrowers and industry segments where we see growth and an ability to develop a meaningful relationship. At the risk of stealing John’s thunder, we working through a top 4 program and hope to have it ready by our Q2 earnings call to provide you with some details. I believe that this ability to consistently find ways to run to bank better and tap the potential of our franchise is a key differentiator of Citizens relative to our peers. So with that, let me turn it over to our new CFO, John Woods, to offer his first impressions and then take you through the numbers. John?
John Woods: Thanks, Bruce. Good morning, everyone. I'd like to first say that I'm extremely pleased to have the opportunity to join Bruce and the Citizens team on the journey to build the top-performing bank. Since the IPO, Bruce and the team have made tremendous progress with great momentum coming in to 2017. Since my early days here at Citizens, I am taking on the leadership in three high-priority areas. First, balance sheet funding optimization; second, continuation of our top initiatives to grow the bottom line and self-fund strategic initiatives; and third, partnering with Don and Brad in driving fee revenue growth. We had some success in these areas and I hope to contribute to further enhancements going forward. I'm impressed by the quality of our leadership team and their clear understanding of our direction and what we're trying to achieve. In short, I'm excited about the opportunities that lie before us. So with that, let's jump into our first quarter financials which start on Slide 4. We’ve generated record net income of $320 million and diluted EPS of $0.61 per share. These results were up 13% and 11% linked quarter and up 43% and 49%, respectively, year-over-year. I’d like to remind you that we did benefit from approximately $23 million related to the settlement of certain state tax matters that lowered the tax rate by 5.2 percentage points and added $0.04 to EPS. Excluding the tax settlement impact, net income was up 33%, EPS was up 39% and the tax rate would have been 31.6%. Note also that under new accounting rules for equity compensation, we had a modest benefit in tax expense. This has been included in our first quarter and full year guidance. Operating leverage was positive linked quarter and year-over- year we generated positive operating leverage of 7% driven by revenue growth of 12%. Our net interest margin increased six basis points linked quarter and 10 basis points year-over-year. And we improved our efficiency ration 50 basis points from fourth quarter and roughly 4% year on year to 61.7%. These strong results reflect good execution of our strategic initiatives and our commitment to drive revenue growth while maintaining operating expense discipline. Our ROTCE of 9.7% improved 1.3% in the fourth quarter and 3.1% year-over-year. On an underlying basis, ROTCE of 9% was up 55 basis points linked quarter and 2.4 percentage points year-over-year. Taking a deeper look into NII and NIM on Slides 5 and 6, we continue to deliver strong balance sheet growth, which helped us to deliver a record $1 billion in NII. We grew average loans 1.5% linked quarter and 8% year-over-year and I will provide some additional color on the growth in a few minutes. Margin improved six basis points linked quarter and 10 basis points year-over-year, which reflects improving loan yields thanks for the pick-up in interest rates and the impact our balance sheet optimization efforts. These benefits were partially offset by higher deposit and funding costs. The deposit costs increase reflects growth in commercial deposits over the quarter, the impact of higher interest rates and mix shift in consumer to more term and time. Note that we grew period-end deposits by over 2% in Q1, which reduced the spot LDR to 97%. Turning to fees on Slide 7, linked quarter fees were up slightly as strong results in capital markets and card fees helped overcome some seasonal impact. Linked quarter service charges were slightly down, reflecting seasonality in day count. Card fees increased from revised contract terms commencing this quarter for core processing fees and a reduction in rewards expense. We had another record quarter in capital markets driven by loan syndications, bond underwriting and advisory fees. We saw $5 million increase in trust and investment services fees, thanks to higher investment sales volumes, as we've added wealth advisors and continue to invest significantly in our wealth platform. Foreign exchange and interest rate product fees were down modestly from strong fourth quarter levels, while mortgage banking fees were down from fourth quarter levels that included higher MSR valuations and higher origination volumes. On a year-over-year basis, we delivered outstanding non-interest income growth, which is up $49 million or 15%. The story is much the same as the biggest drivers of improvement came from capital markets, card fees and foreign exchange and interest rates products and income. Turning to expenses on Slide 8. We saw a slight increase in linked quarter expenses largely as a seasonal increase in salaries and benefits and occupancy was partially offset by lower insurance fraud and regulatory costs, Outside services and Equipment expenses. Compared to first quarter 2016, expenses increased 5%, but there is some noise in those numbers that I want to call out for you that elevates the growth in salaries and benefits and other expense lines. The biggest driver was an increase in salaries and benefits of $19 million but that includes a change in the timing of incentive payments. Last year, the payment was made in second quarter and we pulled this forward this year into the first quarter impacting payroll taxes and 401k expense. Other expense increased $11 million, which includes the impact of the FDIC insurance surcharge, which was not a factor in 1Q 2016. When we exclude those items, the year-over-year expense growth rate was closer to 3%. Let’s move on and discuss the balance sheet. On Slide 9, you can see the continued benefit of our efforts to grow our balance sheet and expand our NIM. We grew average loans 1.5% linked quarter and 8% year-over-year reflecting growth across most of our commercial business lines and in education mortgage and unsecured retail on the consumer side. NIM was up six basis points in the quarter and 10 basis points year-over-year reflecting improved loan yields partially offset by higher deposit costs. We’ve done a nice job of improving our loan yields giving our balance sheet optimization efforts along with greater discipline on pricing. We've also benefited from higher LIBOR during the quarter as the market anticipated the tightening by the Fed. We remain well positioned to capitalize on the rising rate environment with asset sensitivity to a gradual rise in rates, at 6% at the quarter end. On Pages 10 and 11 we provide more detail on the loan growth in consumer and commercial. In consumer 6% average growth was led by continued expansion in education, residential mortgages and other unsecured retail loans, which was driven by our partnership with Apple and our new personal unsecured product. We, continue to improve and enhance our portfolio mix by driving growth in higher-return categories. We are slowing growth in auto and that will likely accelerate in the back half of the year as our partnership with SCUSA comes to a close in April and we further reduce volumes in select geographic areas. As a result of these efforts in addition to higher rates, we’ve expanded portfolio yields by 10 basis points in the quarter and 22 basis points year-over-year. We also saw nice growth in commercial where we continue to execute well in commercial real estate, mid-corporate and middle-market, industry verticals and franchise finance. The increase in rates and enhanced rigor around the acquired portfolio of returns have helped drive a 23 basis point improvement in yields linked quarter and a 41 basis point increase year-over-year. On Page 12, looking at the funding side, we saw a five basis point increase in our total funding cost with a 4 basis point increase in deposit costs mostly tied to growth in commercial deposits. Year-over-year, our cost of funds were up nine basis points reflecting substantial growth in higher cost commercial deposits to fund robust loan growth as well as the impact of higher rates in terming out some of our borrowed funds. Next let’s move to Slide 13 and cover credit. Overall credit quality continues to be strong, reflecting the continued mix shift towards high-quality lower risk retail loans compared with growth in the larger company segments of our commercial book. The non-performing loan ratio remained flat to fourth quarter levels at 97 basis points of loans and improved from 107 basis points a year ago. The net charge-off rate decreased to 33 basis points from more elevated in 4Q levels that included a $7 million increase in the auto portfolio related to a onetime methodology change. Retail net charge-offs decreased $20 million, while our commercial net charge offs were up slightly. Provision for credit losses of $96 million, decreased $6 million from relatively high fourth quarter levels. As we continue to grow higher quality retail portfolios, our allowance for total loans and leases ratio has moved down modestly to 1.13%. On Slide 14, you can see that we continue to maintain strong capital and liquidity positions. This quarter, as part of our 2016 CCAR plan, we’ve repurchased 3.4 million shares and returned over $200 million to share holders including dividend. We ended the quarter with a CET1 ratio of 11.2%. As a reminder our CCAR capital plan targets the repurchase of up to $130 million in shares in the second quarter of 2017. It's also worth noting that the total and not returned to shareholders to date is 3 quarters of the 2016 CCAR window at $756 million including dividends. On Slide 15, we show an update on progress against our strategic initiatives. I’d like to highlight that we continue to drive attractive loan growth across a number of areas. In consumer, we continued with strength in our mortgage loan officer recruitment efforts reaching 560 at quarter end, which should help provide an offset to industry wide origination headwinds. We continue to reduce the auto program to enhance return and we've seen really strong growth in our education refinance loan products, which has attractive risk-adjusted returns. In wealth, we saw nice plus in fees this quarter with the total investment sales up 13% linked quarter and 25% year-over-year. We continue to make progress in a year-over-year basis in shifting the mix of our sales towards more fee-based business, which came in at 36% compared to 14% in 1Q 2016. In addition our FB headcount is up 9%, which is contributing towards the scale in the business. Commercial continues to deliver impressive results with a strong quarter and capital and global markets demonstrating the potential of these businesses given our expanded capabilities. The build out of Treasury Solutions is also on the right track with higher fee income growth linked quarter and year-over-year along with strong momentum in our commercial card program. Moving on to Slide 16, the top programs have successfully delivered efficiencies that have allowed us to self-fund investments to improve our platforms and product offerings. In 2016, our top 2 program delivered $105 million in annual pre-tax benefits across our revenue and expense initiatives. Our top 3 program, which launched in mid-2016, is on track to deliver targeted run rate benefit of $100 million to $115 million by the end of 2017. We have been working on a top 4 program and we expect to provide additional details on this on our second quarter call. On Slide 17, you can see the steady progress we are making against our financial targets. Since 3Q 2013 our ROTCE has improved from 4.3% to 9.7%, which equates to 9% on an underlying basis. Our efficiency ratio has improved by 6% over that same time frame from 68% to 62%, and EPS continues on a very strong trajectory as well. More than doubling from $0.26 to $0.57 on an underlying basis. Let's turn to our second quarter outlook on Slide 18, we expect a pretty linked quarter loan growth of around 1.5% on a period-end basis and 1% on an average basis. We continue to project full-year loan growth to be within the 5.5% to 7% full-year guidance range. We also expect net interest margin to continue to expand by about three basis points to four basis points linked quarter given the forward curve benefit. In non-interest income, we are expecting to see a sequential decrease given the strong first quarter results in capital markets. The commercial activity pipelines have moderated somewhat as the market reassesses the political and economic outlook. We expect to keep expenses broadly stable in the second quarter with positive operating leverage and efficiency improving. We expect stable to slightly higher provision reflecting loan growth with relatively stable net charge-off levels. And finally, we expect to manage our CET1 ratio to around 11.1% and we will manage the average LDR to around 97% to 98%. With regard to the full year 2017, outlook we broadly reaffirm on the balance sheet. And expense guidance that we previously provided but expect to come in at or above the high end of the range for NII and operating leverage. To sum up on Slide 19, our strong results this quarter demonstrated our ability to continue to improve how we run the bank. We have delivered well against our strategic initiatives that help us drive underlying revenue growth and carefully manage our expense base. We remain committed to being prudent capital allocators and enhancing our returns for shareholders. In the second half of the year, we will continue to focus on execution and making further progress for all stake holders. With that let me turn it back to Bruce.
Bruce Van Saun: Thanks John before we start the Q&A, let me turn it over to Brad for some brief words on a media article on our Checkup program. Brad.
Brad Conner: Thanks, Bruce. We have confidence in the Checkup program as an important part of our strategy to serve customers well and ultimately be better positioned to deepen relationships. We believe it's important to note that recent media coverage did not suggest customer harm nor have we identified any. Nevertheless we have commenced a through review to determine whether there are any issues in the delivery of the program. My current expectation is that we are in a good position based on feedback and survey results we already have. Our surveys show that customers who go through the review are highly satisfied and most would recommend a Checkup to someone else. An engagement and organizational health index at our braches is up, customer alignment is up and the [indiscernible] is down since we moved to this mode of interaction that our branch based customers. However we're open to things we learn from review that we can adjust to become even better. So back to you Bruce.
Bruce Van Saun: Okay, thanks Brad and with that operator we're ready to open it up for Q&A.
Operator: Thank Mr. Van Saun. [Operator Instructions] And our first question will come from John Pancari with Evercore. Please go ahead.
John Pancari: Good morning.
Bruce Van Saun: Hi.
John Pancari: Could you update us on your – your updated thoughts on the ROTC expectation at this point. I know you had a target of 10% medium term. You're certainly close to that now, so can you talk about where you expect that could go over the course of the next year and how soon you could be, up towards your original targets, when you spun off. Thanks.
Bruce Van Saun: John I have repeatedly not want to be drawn in on putting a pin in the exact timing that we get to the 10%, what I would say is that we've made nice progress, kind of consistently last year and now in the first quarter and we are getting closer, a lot will depend on first the environment and continued movement in the interest rates, which provide some tailwind and then our continued ability to execute on our strategic initiatives. So I think we have momentum, I think we’re as you say getting relatively close. So hopefully it won't be too long but what I would ultimately say is that once we get to that 10% we won't be satisfied. We will look out, we will be doing our strategic planning effort this summer and we'll consider whether at the appropriate time it is appropriate to raise that target even higher.
John Pancari: Okay, all right thanks and then separately or just around the auto business, I know you indicated outside of the of the SCUSA purchases, ending that you are shrinking that that portfolio, so if you can talk about the rationale behind it and the magnitude of the shrinking we could expect and then separately any update on credit there. Is that influencing that decision?
Bruce Van Saun: Now it's really John, you can add to what I say or Brad, but I think that the real reason is that we grew the auto book when there wasn't much happening on the consumer side. So there side. So there was very little demand for credit from consumers except in the auto arena. So we ramped up our own self originations and we supplemented that with the SCUSA flow agreement, which got us into the prime space in the super prime space and delivering quite returns. Our view is always that the runoff in auto was a bridge to hold us and deploy some capital until ultimately the consumer can back and if you will got his/her mojo back and so we've seen that now. We've seen increase in demand for personal unsecured and revolving credit, student lending, mortgages. And so as those other portfolios grow, there's less need to have the auto and frankly the auto now that our returns have lifted is dilutive to our overall ROTCE and overall returns. So I think you'll see us we probably peaked at maybe $14 billion in total loan balance. I think that will probably be lower by about $1 billion and I would expect that trend to continue into next year. I do know, John or Brad?
John Woods: The only thing I would add in the specific question around in any way related to credit performance, the answer is no. Our credit performance has been strong, right in line with our pricing expectation and our expectation is, to your point, it's all about the return on the business. It's not in any way related to the credit performance.
Bruce Van Saun: Okay, anything from you.
Brad Conner: Yes, just getting back to the point about reallocating that capital to hire a better use. I may have mentioned in my remarks that this generates higher risk-adjusted returns for us when we rotate that capital into those other consumer businesses, so we're excited about that.
Bruce Van Saun: Yes
John Pancari: Okay great thank you.
Operator: And our next question will come from David Eads with UBS. Please go ahead.
David Eads: Hi, good morning, and welcome John. Maybe starting with you, I think when you talked about kind of the strategic priorities, you started with opportunities for to optimize and improve on the funding side. See if you can kind of drill into more detail of where you think opportunities might be there, whether it is on the consumer side or the commercial side – how you think that’s going end, what opportunities are going to be shaking out given the changes to the dynamics for deposit given higher rates?
John Woods: Yes, thanks. And I think I've just talked about it on both sides and partnering with Don and Brad on this. In early days, there's been nice momentum in both of those businesses on funding. I'd say that we're entering into an environment here, which we'll all talk about rising rates and how we all operate in that environment. But looking forward, when you look at overall balance sheet, we're looking to remix and as we just talked about on the asset side and better use of that capital, we're constantly looking for better ways to fund that portfolio and that's part of our franchise. And we have some momentum there in terms of getting the right mix of commercial and consumer, so I think you'll see a bit more on the commercial side and getting a better representation of commercial deposits in our footprint. And there's also – we've seen good control of deposit cost in the consumer side. So like everybody, we're going to constantly look at that and look for ways to better fund the balance sheet.
Bruce Van Saun: Brad, we want to add some of the initiatives may be that you have going on in consumer, targeting of that segmentation of the customer base, mining products and having data analytics to really tease out the products from with good offers to different segments of the base?
Brad Conner: Yes, you bet. A couple of things we've got. I think we talked about this a little bit on last quarter's call. We have redesigned our value proposition for our massive and affluent consumers. I think you’d get a much better value proposition to serve the needs of those customers. And then we invested very heavily in analytics and really understanding our customer segments and how to reach them with very specific and targeted offers so that our offers are much less about putting broad offers out, if you will, across the entire branch base that’s targeting the specific customers and specific customers sets. And we think that will really allow us to be much more efficient in driving lower-cost deposits.
Bruce Van Saun: Yes. And Brad, you're also looking to focus on where the opportunities are for deposits?
Brad Conner: Yes. I mean, I think we’ve got materially more sophisticated in our deposit strategies over the last couple of quarters and added staff and added specific programs and added industry base focus to where we work with those deposits that are attractive and attractively priced, so we’re very confident there.
Bruce Van Saun: And we will start to emphasize some of the industry segments that have that are cash rich as supposed to on a credit needy. I think it's part of the rotation that we're looking at as well.
Brad Conner: Correct.
David Eads: Great. Thanks, guys. That’s very helpful. And may be second question, obviously a really good quarter on the fee side, you talked about may be a little bit of pullback on the capital markets. I'm curious, is the equitation that this step up in the card fee line should be sustainable and kind of a may be fluctuating, but broadly sustainable at this higher level?
Bruce Van Saun: Yes. Let me take that and then I’ll ask my partners to color. But first off, with respect to capital markets, it really was an exceptionally strong quarter and I think it really shows that we built some great capabilities. We had to move off of being a partner with RBS for many of these products, and we've now stood them up on our own. We've got really good teamwork going between coverage bankers and our product specialists, and we're making great traction and the market conditions were very favorable and I think we hit the ball out of the park. I think what we're cautioning is that we were at record levels when the capital markets fees were in the mid-$30s very recently, we just hit a $48. I still think the numbers this year, the outlook is strong but it's kind of capturing lightning in the bottle at this point for $48. But like I used to kid with Don and his team, when we were in the $20s, $30s, the new $20 and then we were in the $30s, $40s, the new $30, so I think we will continue to see as we built up our book of customers and continue to expand our capabilities that will push that number at over time. On the card side, what I would say is that, look, the renegotiations that we had with our core processing vendors creates a sustainable lift. There was some of rewards expense adjustment in the quarter which would not repeat, but that will be partially offset by seasonality in Q2. So I think we'll see a good percentage of this lift stick but not all. So, Don, I don’t know if you want to add any color?
Don McCree: No, I think you’re exactly right on capital markets. I mean, the only thing I'd add is it is incredibly competitive out there right now and aggressive, so we're trying to maintain a level of discipline on the transactions we do. Highly encouraged by the quality of the franchise and the transactions that we are doing, we're winning in disproportionate share of what we're seeing. So as you said it is the function of activity in the market, discipline, and then quality of franchise. I think we will continue to have strong quarters going forward. Our treasury services business, just to mention that, my other fee line has got tremendous momentum and it's really led by card which is growing at 30% to 40% a year. So that's the way for the future in terms of our treasury business, so on both …
Bruce Van Saun: Yes.
Don McCree: Really nothing to add, Bruce. I think you said it right.
Bruce Van Saun: Okay.
David Eads: Great. Thanks so much.
Bruce Van Saun: Thanks Eads.
Operator: And our next question will come from Matt Burnell with Wells Fargo Securities. Please go ahead.
Matt Burnell: Good morning. Thanks for taking my question. Maybe just focusing for a minute on commercial lending. What are the trends you're seeing there in terms of demand by size or maybe industry verticals? A couple of your competitors over the last few days have mentioned a growing demand in mid-market and maybe below mid-market relative to where it's been the last few quarters. Can you give us a little more color in terms of those trends and the utilization rates?
Bruce Van Saun: Don, you want to take that?
Don McCree: I'd say utilization just to start with that, it's up slightly not in a material way. So we're seeing pretty standard utilization. Our pipelines in our mid-market business are actually quite strong. And the question is what closes and when does it close and how does the demand continue to materialize? We saw quite robust kind of conversations in demands early, early in the year off the back of the changes in administration. And I would say, given some of the uncertainty of delivery of some of those programs and potential delay into the back end of the year, it's moderated a little bit. But we're encouraged by what we're seeing in terms of pipeline growth and activity in conversations. I will say that it's been offset by two other factors. One is there has been very tremendous capital markets activity and in our mid-corporate and some of our industry vertical businesses, we've seen a lot of refinancings into the capital markets given the strength of the capital markets. You can see that in our fee lines as we capture some of that opportunity. And at the margin we've got more disciplined on returns, so we are turning certain parts of the book to try to build better returning portfolios. So we've seen shrink in places like our leasing business, which has been offset by growth in other parts of our business. So I guess I'd summarize it by saying client activity is strong. We think the franchise is strong. We're adding a lot of new clients. So we're optimistic as we look out through the next several quarters, whether it materializes in the second quarter or third quarter is the timing question get's in the back of my mind.
Matt Burnell: Okay. And just staying on the idea of commercial, you’ve mentioned a couple of times so far this call about growing commercial deposits prudently. And I'm curious, John, if you think that that's going to add to pressure in terms of deposit beta over your relative to what your prior expectations have been.
John Woods: I think we are going to talk a little bit about how those funds are being deployed as well. You have heard a little bit earlier. We're putting that money to good use. We're making prudent decisions on the pricing side. And we have – we're doing better on the loan yield side. So you've got to look at those sides of the balance sheet there when you talk about what we're doing with those funds. Sure, commercial deposits have bit higher beta than a consumer deposits. But as you heard earlier from Don, we are under-penetrated on that side. We've got some very interesting things going on in the products front that will help to create some momentum on raising commercial deposits. And we feel good about where that will go in terms of from a mix standpoint and how we will put that capital and liquidity to work.
Matt Burnell: Thank you.
Operator: And our next question will come from Matt O'Connor with Deutsche Bank. Please go ahead.
Ricky Dodds: Hey guys, this is actually Ricky Dodds from Matt's team. Just a quick question on the buildout and wealth in mortgage. It seems to be going pretty well and appreciate the update and the press release. Just wondering if you could give a little more color on sort of what's left to do there? And how you think you guys are doing on the build versus maybe your initial expectations? Thanks.
Bruce Van Saun: Brad, you want to take that?
Brad Conner: Sure. I would say we're feeling pretty good about both of those areas. I will start with mortgage. We were up 22 this quarter, up 125 year-on-year. I think the key for us has been we feel really good about the progress we're making in turning our operations around. So we've really seen improvement in our customer satisfaction operations, which has allowed us to recruit loan officers and retain loan officers. Obviously the entire industry is seeing a little bit of slowdown in terms of demand. But all in all, we feel good and the progress that we're making with hiring our loan officers have been in our conforming geographies as well, which will help drive fee income. So we feel very good about that. I'd say on the wealth side, good quarter for us and we feel good about the progress we're making. We continue to see improved growth. We talked about it last quarter. One of the things that slowed our trajectory a little bit in growing fee income was a movement from to more managed money, fee-based products and we're seeing that trend continue but we feel like we've sort of crossed over that threshold where not yet that sustainable source of fee income and so continuing to have good success and good progress. And I would say yes, maybe to your question about how do we feel against our original projection, we feel like we're pretty much on track there guys.
John Woods: Well, I'd say it's probably taken us longer…
Brad Conner: Taken us longer.
John Woods: …to get here, but we have made some I'd say slight adjustments in the mortgages to make sure we are focusing on the conforming geographies to make sure we get fulfillment on servicing where it needs to be. And in wealth, I think we're just building it the right way, putting the right products in place, we're putting the right customer segmentation and delivery mechanisms in place. We've got the robo advisory now up and running this quarter, and so I am really excited about really where both businesses are today and the outlook although I'd say to be fair, it's taken us a little longer to get there.
Ricky Dodds: Okay, great. Thanks. And just a quick one on occupancy cost this quarter. It looks like you called out about $5 million and branch rationalization or upgrade cost. Wondering if you can give a little color on that and then is that something we should expect going forward as you continue to sort of make improvements to your footprint?
Bruce Van Saun: Yes, there's probably of that increase. I think it was maybe 3 or 4 was related to the branch charges. But what we're focused on here is what we call refer to as branch transformation, which is to take a look at all our branches and try to figure out how to reconfigure them. So in most instances, we don't need as much space as we have, so we want to reduce the overall square footage in the branches and we want to take what was space dedicated to transactions and the remaining space should have more private rooms for conversation. So we can deliver advice to our customers, and we can also use the foyer , the entrance room for putting in some very sophisticated machines that people can do a lot of the banking that require tellers right on those machines. We're probably looking at a 10-year timeline based on our lease expiries to get to all our branches and we're kind of in the early stages of that. So initially, you'll see the charges for the refurbs exceed what we get in terms of the back book of lower rent from the restructured branches. But as time goes by, that becomes a nice driver because ultimately, we'll be driving the occupancy expense, lower and because of the less square footage, and that will swamp the cost of a handful of branches each quarter getting refurbished. So anyway, that's what you saw in Q1.
Ricky Dodds: Okay. Thank you.
Operator: [Operator Instructions] And we'll go to the line of Vivek Juneja with JP Morgan.
Vivek Juneja: Hi, Bruce. Hi, John.
Bruce Van Saun: Hi, Vivek.
Vivek Juneja: I wanted to talk a little bit about reserves, reserve levels for your loan portfolio, obviously crisp and very good, but how you're thinking about reserves to loans have come down a little further to 113% and where do you see that leveling out?
John Woods: Look, we're comfortable with where that is Vivek and I think it partly reflects the shift in some of the portfolio that you've seen, you've seen someone runoff of – some of the legacy poor assets that service by other home equity portfolio being replaced with very high prime and super prime consumer assets, which has been an upgrade. And I think in the commercial side, you're seeing growth in the kind of mid-corporate space, which tend to be higher rated credit. So I think it's really just overall function of the decisions we're making in terms of how we plan where we play. If you look at the coverage ratios of things like NPLs, that continues to go up. And I think we're up to 118% on that basis. So overall, I think we're probably getting to a point where you won't see significant further reductions from that 1013%. But hopefully if we keep working down the book of NPLs, you might see that number continue to improve somewhat. The other thing I'd say that's quite interesting is while we’re focused on getting higher yields and we're also improving the risk-adjusted returns on our loan book, we're seeing that our stress test losses are actually reducing because of some of the impacts that I described that's running off these legacy portfolios and putting really good quality back on the book. So you kind of have the hatch wrecking effects, better yields, better risk adjusted returns and lower stress losses, which is really great to see.
Vivek Juneja: Okay, great. You basically [indiscernible] into my next question, which was CCAR. Can you talk a little bit about how you're thinking about that and given your continued very strong capital levels, your plans for how you're thinking about capital return and capital deployment?
Bruce Van Saun: Sure. And again, we've been, I think very consistent and predictable that we've been on a glide path that we want to have strong returns of capital to shareholders and strong loan growth. The fact that we were birth from RBS with a high capital ratio has allowed us that flexibility. We're coming closer and closer to where peers are but we still have, I think, relatively high rates. I think you could expect more of the same in terms of our approach this year. When I think about what we want to do with capital, certainly, increasing the dividend you saw us raise the dividend and the payout ratio is going up. We'd like that to continue, and we'll also want to continue to fund loan growth as a high priority. And then when we have excess, we'll use that to repurchase the shares. So that's it in a nutshell.
Vivek Juneja: And are you still targeting, Bruce, as you look out what kind of target capital ratios rather than me putting words in your mouth let me just give that too. What are you thinking? Where you would like to run with that?
Bruce Van Saun: Well, we haven't really freshened that view. As you recall when we did the IPO roadshow, we said we wanted to bring it down to around 11%. I think last year, we came from 11.7% to 11.2%-ish. So the glide path in the past couple of years has been down 50 basis points or so. I think it’ll cross over 11% this year and still have a differential to peers. So I think this continued glide path can continue not only this year but into next year, and so we'll stay tuned on that. We'll probably post you on that sometime in the middle of the year.
Vivek Juneja: Thanks, Bruce.
Bruce Van Saun: Okay.
Operator: And our next question will come from Scott Valentin with Compass Point. Please go ahead.
Scott Valentin: Good morning, thanks for taking my question. Just on the unsecured portion of loan origination, just wondering, I know you guys used combination of partnerships and I guess internal initiatives. Just wondering over time if you plan to internalize all of that, will partnerships remain a key component into driving that unsecured loan growth, consumer loan growth?
Bruce Van Saun: Let me start and Brad can add some color on this. But clearly, we've had – I think we've taken the view that to grow our card portfolio is challenging because the payback period for actually growing that book takes some time and so there were better uses of expense dollars to grow other portfolios. One of the things when we looked at the unsecured space and struck up the partnership with Apple, was that the returns are accretive much faster, so we were able to make an investment to build the capabilities to support Apple, but then as the balances come on the books, we're not paying for zero balance transfers and heavy marketing expenses. So we like that aspect about the program and the risk-adjusted returns on that portfolio are very good from our standpoint. We have – because of that, being partnered with an iconic company like Apple, we've had other reverse inquiries and we've actually gone out and solicited some, so we've got two new partnerships set up that will gain some traction as the year goes by. One is with Vivint, a smart alarm company and the other is with HP, and stay tuned because there could be more in the works. So we like that capability that we have developed and partnering with real class companies and so that I think will be a growth feature going forward. We've also determined that there is an opportunity, much in the way with add refi lending products that we can offer attractive propositions to borrowers who are carrying high-cost debt. There is other customers of ours who maybe carrying multiple revolving credit balances who can consolidate that into an unsecured line of credit, and so we introduced our pearl product last year and that has real traction too. So I think you'll probably see a combination of it too. You will see some direct mailing and branch offers to our customers on the pearl product and then married to an overall trust on the partnership side. So, Brad, you want to add to that?
Brad Conner: [indiscernible] I think you said it right, I mean, we have a very high quality list of other potential partners that have reached out to us. I think we have new capability and we think we can continue to expand with a very attractive set of customers. I’d just point out to that Vivint is a very good commercial bank customer of Don and I think it’s also related to build rate synergy between the consumer and the commercial bank and we will continue to look at those opportunities as well.
Bruce Van Saun: Great
Scott Valentin: Thanks very much.
Bruce Van Saun: Okay.
Operator: And there are no further questions in queue at this time. I'll turn it back over to Mr. Van Saun for closing remarks.
Bruce Van Saun: Okay. Well, thanks again everyone for dialing in today. We really appreciate your interest. As I said in the press release, I think we're really firing well on all cylinders. I remain very confident in our full-year outlook. Thanks again, and have a good day.
Operator: And that concludes today's conference call. Thanks for participation. You may now disconnect.